Operator: Hello, everyone, and welcome to the VPG Second Quarter 2025 Earnings Call. My name is Ezra, and I will be your coordinator today. [Operator Instructions] I will now hand you over to our host, Steve Cantor, Senior Director of Investor Relations, to begin. Please go ahead.
Steven Cantor: Thank you, Ezra, and good morning, everyone. Welcome to VPG's 2025 Second Quarter Earnings Call. Our Q2 press release and slides have been posted on our website at vpgsensors.com. An audio recording of today's call will be available on the Internet for a limited time and also can be accessed on our website. Today's remarks are governed by the safe harbor provisions of the 1995 Private Securities Litigation Reform Act. Our actual results may vary from forward-looking statements. For a discussion of the risks associated with VPG's operations, we encourage you to refer to our SEC filings, especially the Form 10-K for the year ended December 31, 2024, and our other recent SEC filings. On the call today are Ziv Shoshani, CEO and President; and Bill Clancy, CFO. And now I'll turn the call to Ziv for some prepared remarks. Please refer to Slide 3 of the quarterly presentation. Ziv?
Ziv Shoshani: Thank you, Steve. I will begin with some commentary on our results and trends for the second quarter. Bill will then provide financial details about the quarter and our outlook for the third quarter of 2025. Moving to Slide 3. Beginning with revenue. Second quarter revenue of $75.2 million grew 4.8% from the first quarter. We are pleased to report continued positive bookings trends across several key markets, reflecting a moderately improved business environment. Our consolidated orders grew 7.5% sequentially, making the third consecutive quarter of sequential growth. This resulted in a consolidated book-to-bill of 1.06 with Measurement Systems and Sensors segments reporting a book-to-bill of 1.2 and 1.12, respectively. Adjusted gross margin improved to 41.0%, driven by sequentially stronger performance across all 3 business segments. I want to highlight the Weighing Solutions segment, in particular, which delivered a record quarterly adjusted gross margin. We continue to advance our business development and cost optimization initiatives. Our operational execution translated into a solid cash generation with $6.0 million in cash from operations and $4.7 million in adjusted free cash flow. Before reviewing our sales and orders performance by division segment, I want to comment on the impact of tariffs on our second quarter results. Tariff changes impacted our gross margin negatively by approximately $500,000 due to the timing of our offsetting price increases. We expect this gap to narrow in the third quarter as our price adjustments becomes effective. While tariff policies continue to change and are difficult to predict, we are confident in our ability to respond given our manufacturing footprint, the geographical distribution and our sales and our deep customer relationships. Moving to Slide 4. Beginning with our Sensors segment, second quarter revenue decreased 1.8% sequentially, reflecting mixed trends across its market as higher sales of strain gages products were offset by lower sales for precision resistors. Sensors booking rose 3.7% sequentially, reaching the highest level in 6 quarters and resulting in a book-to-bill of 1.12. The bookings growth was driven by higher orders in the test and measurement for precision resistors and higher demand for strain gage sensors in AMS and industrial weighing, which was partially offset by lower orders for the test and measurement. For precision resistors, we recorded a $1.5 million of order for fiber optics data center application, and we expect an additional order in Q3. Regarding humanoid robots, from April 2025 through July, we received approximately $1.5 million in follow-on orders from our initial humanoid customer. The humanoid robot market is still in its infancy and the initial real-world deployment of these robots is expected now in 2026. As the technology and use case continues to develop, we are optimistic about the long-term potential for this market has for VPG, and we focus on high-precision, high-performing segment of this rapidly evolving market. Moving to Slide 5. Turning to our Weighing Solutions segment. Second quarter sales increased 11.3% from the first quarter. The increase was driven primarily by higher sales in the transportation and industrial weighing markets and in our other markets for medical and precision agriculture applications. Weighing Solutions orders grew 3.6% sequentially to $27.2 million, resulting in a book-to-bill of 0.92. Higher orders for precision agriculture and medical applications and in industrial weighing offset lower orders in the transportation and general industrial. Moving to Slide 6. Turning to our Measurement Systems segment. Revenue in the second quarter of $19.2 million increased 5.1% sequentially. The increase reflected higher sales of DTS data acquisition modules in the AMS market, which offset lower sales to the transportation and steel markets. Second quarter Measurement Systems orders of $23.0 million increased 18.1% sequentially and resulted in a book-to-bill of 1.2. Bookings reflected higher demand primarily in the AMS and steel markets. In the current quarter, we expect to complete the beta installation at the University of Alabama of our new UHTC system. This system is designed to perform band testing on nonconductive materials such as ceramics, which are used in critical high-performance applications, such as for hypersonic missiles in aerospace as well as in avionics, energy and industrial applications. We believe our differentiated solution can increase test throughput by tenfold while testing materials at ultra-high temperature of around 2,000 degrees C that is required for these advanced applications. We are now in discussions with the second university regarding beta testing for this system. Moving to Slide 7. I would like to provide a brief update on our 3 top strategic priorities for 2025. First, we are encouraged by our business development initiatives, which generated orders of approximately $17 million through the first half of this year. This puts on track to achieve our goal for 2025 of securing $30 million of orders from either new customers or new application with existing customers. What is significant is not only the magnitude of these orders, but the breadth, which runs across our businesses. To support these initiatives, we are continuing to improve our sales processes and systems as well as our use of digital marketing channels. Second, we continue to reduce costs and increase operational efficiencies through product relocation and efficiency improvements. The measure we have taken through the first half of 2025 put us on course to reduce fixed costs by about $5 million for the full 2025 compared to prior year, excluding inflation. These measures entail mainly the consolidated of production and shared services to lower-cost countries. Third, we continue to pursue high-quality acquisitions to build scale and expand our cash flow. We remain disciplined and patient in our search for the right opportunity. In summary, we are pleased with the positive order trends, which have continued for the third consecutive quarter and our ongoing progress with our growth and cost initiatives. Global economic activity has remained stable in 2025 and improved modestly in several areas despite the ongoing macro uncertainties due to tariffs, trade policies and geopolitical tensions. I will now turn it over to Bill Clancy.
William M. Clancy: Thank you, Steve. Referring to Slide 8 and the reconciliation tables of the slide deck, our second quarter 2025 revenues were $75.2 million. Adjusted gross margin of 41% in the second quarter increased by 270 basis points from 38.3% in the first quarter, reflecting higher volume, favorable product mix and favorable exchange rates, which offset net tariff costs. Sequentially by segment, adjusted gross margin for sensors of 32.2% increased due to an increase in inventories and favorable FX rates, which offset the impact of lower volume and net tariff costs. Weighing Solutions adjusted gross margin of 40.2% increased from the first quarter and reached an all-time record, primarily due to higher volume and favorable foreign exchange rates, which offset the impact of net tariff costs. Gross margin for Measurement Systems of 54.6% increased from the first quarter due to higher volume and favorable product mix. Moving to Slide 9. Our adjusted operating margin of 4.8%, which excluded start-up and restructuring costs amounting to $885,000 improved from 1.1% in the first quarter of 2025. Selling, general and administrative expense for the second quarter was $27.7 million with 36.9% of revenues, which increased from $26.7 million with 34.5% of revenues for the first quarter of 2025. On an adjusted basis, second quarter 2025 SG&A was approximately $27.1 million or 36% of sales, excluding approximately $500,000 of severance costs. The increase in SG&A is mainly due to unfavorable foreign exchange rates. The operational tax rate in the second quarter was 31%. And for the full year of 2025, we are forecasting an operational tax rate of approximately 28%. We reported net earnings of $248,000 or $0.02 per diluted share. Adjusting for manufacturing start-up costs, restructuring, severance costs and foreign currency exchange losses, adjusted net earnings for the second quarter was $2.3 million or $0.17 per diluted share compared to $468,000 or $0.04 per diluted share in the first quarter of 2025. Moving to Slide 10. Adjusted EBITDA was $7.9 million or 10.5% of revenue compared to $5.1 million or 7.2% of revenue in the first quarter. Capital expenditures in the second quarter was $1.3 million. For 2025, we are forecasting $10 million to $12 million for capital expenditures. We generated adjusted free cash flow of $4.7 million for the second quarter, which compared to $3.7 million in the first quarter. As of the end of the second quarter, our cash position was $90.3 million, an increase of $6.4 million from the first quarter. As part of our ongoing cost reduction and efficiency initiatives, in July 2025, we completed the sale of a building, which generated approximately $11 million in net proceeds. We used these proceeds to reduce our outstanding bank revolver balance, which will reduce our annual interest expense by about $700,000. Regarding the outlook, for the third fiscal quarter of 2025 at constant second fiscal quarter of 2025 exchange rates, we expect net revenues to be in the range of $73 million to $81 million. In summary, bookings of $79.9 million grew sequentially for the third straight quarter, resulting in a book-to-bill of 1.06. Our business development initiatives continue to advance, and we generated solid cash flow as we continue to implement our cost reduction programs. With that, let's open the lines for questions. Thank you.
Operator: [Operator Instructions] Our first question comes from Josh Nichols with B. Riley.
Michael Joshua Nichols: Great to see the continued trend in improving business activity. Just want to touch on for a minute, I think you mentioned you've received $17 million of business development revenue. You have a goal of getting to, to $30 million this year. Presumably, do you expect some additional revenue from humanoid robot, some of your humanoid robotics customers later this year? And then you mentioned one customer is expected to move into production next year. How do you expect the size of those orders would change relative to what you're getting today, assuming that, that customer does move into production versus earlier stage demo today orders that you guys are doing?
Ziv Shoshani: Regarding the humanoid robotics project, as we indicated, we have received a $1.5 million order from April to July. We are pleased with the progress of this customer and our design position on their robot. At the same time, we have to continue and support the production schedule, which are still changing by our customers. So we may expect to get more orders. At this point in time, the customer continues to evaluate based on their schedule. But if -- but potentially, we could see an order, it really depends on the customer. This is regarding the first humanoid customer. The second humanoid customer, I did indicate in prior calls that we did provide an initial prototype lines, prototype products. The feedback was good, and we are expecting to provide another -- we are expecting to see a larger order in the near future. Regarding 2026, we -- Vishay Precision Group is set to support our customers regardless of the volume. We are set regarding the infrastructure. And once the customer is ready to ramp up on higher volume, the company is ready to support their production. So based on prior discussions that we had with the customer, once and if there would be changes in volume, we are ready to support those customers. We do hope to see those higher volume orders coming in 2026, but it really depends on the customer schedule.
Michael Joshua Nichols: And then just to drill down into that a little bit. I think you previously mentioned somewhere in the range of like $500 to $1,200 per robot. Is that still what you're expecting? And is the margin profile for these customers relatively in line with the corporate average or a little bit better? Or how is that going to impact the businesses at scale?
Ziv Shoshani: Okay. I did provide a price range given the volume that has been discussed naturally. Once higher volume would be discussed, we already -- we understand that probably a different pricing model will have to be supported, and the company is prepared for that. Regarding the profit schedule, I think it's a little bit premature still to provide this type of information.
Michael Joshua Nichols: Fair enough. I appreciate the detail there. I guess just one more question. I mean your business activity has been improving, but if you look like -- I mean, the company has been coming off an extended downturn and now things are starting to pick up. We've seen a healthy uptick in operating income. Meanwhile, you've been cash flow positive even throughout the more challenging times. How do you see like the scalability of the business in terms of EBITDA and operating margin as your sales get back up to a higher level of cadence next year and think about the scale that comes into play on the margin front?
Ziv Shoshani: As you know, our financial profile is such that for every incremental dollar of revenue, we do expect it to be around about, I would say, $0.30 to $0.40 drop to the pretax level. So this model, we do expect to continue once we would see an upturn in revenue. I should say that given all the cost initiatives that the company has taken during the last 2 years, we should be even in a better cost position to capitalize profitability once the volume rebound. So if there was a certain schedule, regarding the profitability improvements once the volume increased historically, we should be in a better position, meaning we -- the profitability level should be accelerated in respect to the past once volume would rebound.
Operator: Our next question comes from John Franzreb with Sidoti & Company.
John Edward Franzreb: I'd like to start with the quarter that we just finished. Ziv, it seems like there is a fair amount of variability in the transportation market for you. Weighing Systems had some good revenue numbers flow through. Measurement Systems didn't. I wonder if you could just talk about what's going on? What are you seeing in the transportation side of your business.
Ziv Shoshani: Okay. Great. So regarding Transportation, let me start with Measurement Systems. On the Measurement Systems, the upside that we have seen this quarter is coming mainly in the steel, mainly the DSI, the project-related AMS and to an extent, also the DTS automotive business. What we can or what we have identified is kind of a slower demand in weighing solution is due to the fact that in the first quarter, there were very high orders of transportation for our onboard weighing, which did not repeat itself in the second quarter. So as a matter of fact, it's not that the business has been slowing down. It's just that we did not repeat those large orders in Q1.
John Edward Franzreb: So do you think that was just catch-up from delayed orders from '24 in Q1 and now they're at equilibrium? Any kind of greater thoughts?
Ziv Shoshani: Okay. So the Q1 orders were considered to be 6 to 9 months orders that the customer has placed in Q1 and is expected to continue -- the sales are expected to continue in the coming months.
John Edward Franzreb: Got it. Got it. And can you talk a little bit also about the steel market? It seems like the order bookings in steel were weak, and I was kind of hopeful maybe that they'd be a little bit stronger given what we're seeing as far as the macro conditions.
Ziv Shoshani: Okay. So regarding steel, as you know, there are a few moving parts in steel. First, the global steel market as a whole continues to be soft, reflecting slow automotive production and demand and pushouts for some electric vehicle model production. Secondly, the tariffs, which are very high on steel and steel-related products also makes a significant effect. Our -- the orders that we have received for steel are not -- have not been necessarily on our KELK, which is in line or in-line equipment inspection in steel mills, but it's more on the R&D for DSI product. So there is still a lot of tailwind once the steel business would rebound.
John Edward Franzreb: Got it. That helps. And in regards to the $5 million in cost savings, would that program be completed by the third quarter? Or is that going to take to the full year-end?
Ziv Shoshani: The $5 million are expected to end in Q4. And I believe that for the first 6 months, we have captured $2.8 million out of the $5 million.
John Edward Franzreb: And just a little bit of thought about how July looks, the trends for the company overall compared to what you saw the monthly trends in June -- I'm sorry, in the second quarter.
Ziv Shoshani: I would -- regarding July, at this point in time, I would say since it's already providing information regarding the third quarter, at this point, I could say there are no surprises to us.
John Edward Franzreb: One last question. Right. One last question. Should the robotics actually begin production in 2026. At what point would you actually have to add capacity to meet some of the projections for 2030? Have you -- I'm sure you thought about that, but can you maybe share with us what that -- what the ramp would look like as far as you're concerned?
Ziv Shoshani: As I indicated, the ramp-up -- I mean, the ramp-up schedule is very much dependent on our customers. We share with our customers our capacity, our equipment capacity and our headcount, and we are working hand-to-hand that our capabilities and capacities would be in line with their demand. So to that extent, I think there is a very good collaboration between the two companies. And they would give us enough heads up and enough information that we would be there with enough capacity to support them. We are not going to be the bottleneck. Now regarding the timing and the schedule, it's up to them. We do hope that it would be sooner rather than later. But it's really...
John Edward Franzreb: I'm sorry. I think I lost you...
William M. Clancy: I think he was finished. I think he was finished, John.
Operator: [Operator Instructions] We currently have no further questions. So I will hand back over to Steve for any closing remarks.
Steven Cantor: Thank you. Before concluding our call today, I want to note that we will be participating in 2 upcoming investor conferences, the Three Part Advisors IDEAS Conference in Chicago on August 27 and the Jefferies Industrials Conference in New York on September 3. You can contact us for more information about them. And with that, thank you for joining our call today.
Operator: Thank you very much, Steve, and thank you, everyone, for joining. That concludes today's call. You may now disconnect your lines.